Operator: Good morning, ladies and gentlemen, and welcome to the ESG Flight Plan event and Embraer’s Second Quarter 2021 Financial Results. Thank you for standing by. I am Felipe Calzada, and I’ll be your host for today. At this time, all participants will watch our financial results presentation. Right after we will conduct a question-and-answer session and instructions to participate will be given at that time. If you should require any assistance during the event, you can do so using the chat box on the platform. As a reminder, this presentation is being recorded and webcasted at Reuters platform. Before we begin, just a legal statement. This conference call includes forward-looking statements or statements about events or circumstances which have not occurred. Embraer has based these forward-looking statements largely on its current expectations and projections about future events and financial trends affecting the business and its future financial performance. These forward-looking statements are subject to risks, uncertainties and assumptions, including, among other things, general economic, political and business conditions in Brazil and in other markets where the company is present. The words believes, may, will, estimates, continues, anticipates, intends, expects and similar words are intended to identify those forward-looking statements. Embraer undertakes no obligations to update publicly or revise any forward-looking statement because of new information, future events or other factors. In light of these risks and uncertainties, the forward-looking events and circumstances discussed on this conference call might not occur. And the company’s actual results could differ substantially from those anticipated in the forward-looking statements. Participants on today’s conference call are Francisco Gomes Neto, President and CEO; Antonio Carlos Garcia, Chief Financial Officer and Procurement; and Eduardo Couto, Director of Investor Relations. And now, I would like to turn the conference over to Francisco Gomes Neto. Please go ahead, Francisco.
Francisco Neto: Thank you, Felipe. Good morning to all and thank you for joining our call today. I hope that all of you are well and safe and thank you for your interest in our company. As you will see in Antonio’s presentation, our results for the quarter were strong. The Q2 results are a clear example that our strategic planning has been well executed with the right focus and discipline showing significant improvement in our financial performance. Before we go into more details regarding the Q2 results, I’d like to highlight the good momentum we are going in the different business segments. In Commercial Aviation, we announced it a new firm order for third E195-E2 jets from the Canadian Porter Airlines with purchase rights for 50 more aircraft. We also announced new firm orders for 34 E175 jets to Horizon Air and SkyWest to be operated for Alaska Airlines and Delta Airlines. These new orders and order activity campaigns reiterates the continuous interest in the E-Jet family as the best option in the regional aviation market. In as Active Aviation, we keep up the momentum with the record sales in the quarter. We maintained our price discipline strategy and had a strong backlog growth with book-to-bill in excess of two to one for this business. In Defense and Security, we delivered 7 Super Tucano aircrafts in the first half of the year. As we had strong performance in our cybersecurity and systems integration companies with double-digit revenue growth in the first half of this year compared to the first half of last year. Further in the second quarter, the KC-390 Millennium reached an important milestone by successfully performing unpaved runway tests. Although we are currently in negotiations with the Brazilian Air Force on the KC-390 Millennium, we are continuing to be focused on the new export sales campaigns for this aircraft as well as the Super Tucano. In services and support, we are pleased with this strong second quarter results with better revenues and higher margins as traffic recovery and the strong maintenance activity drove 55% revenue growth in the second quarter. It is exciting to see the continued positive sales activity in services with deals signed with several important customers across all markets and at OGMA, driving backlog expansion for this segment during the period. This was further highlighted by the contract we signed with Porter Airlines for a 20-year total support program. With respect to innovation, we continued to make progress on partnerships in the Urban Air Mobility ecosystem through our subsidiary, EVE, in a segment with strong growth potential in the years to come. In addition, our services collaborative platform, Beacon, signed agreements with key customers such as Republic for its maintenance applications. Finally, on the operations front, we continue to see great improvements. We expect a 16% increase in inventory returns compared to 2020, and a 20% reduction in production cycle time of our aircraft this year, positively impacting working capital and production costs. I will now hand it over to Antonio Garcia, our CFO, to give further details on the financial results, and I will return in the end. Thank you.
Antonio Garcia: Thank you, Francisco, and good morning, everyone. I’ll start with our backlog for the quarter. On Slide 7, the graph shows we ended the second quarter at $15.9 billion, up $1.7 billion or 12% from the prior quarter. This represents a return to the same $15.9 billion we were at in 2020 before the pandemic began. In our Commercial Aviation business, we closed 48 aircraft sales in a quarter, is spread across several different airlines. In our Executive Aviation, we had a record second quarter sales. A solid backlog as demand for light and larger business jets continued to grow. Backlog Services & Support and Defense & Security also grew from the prior quarter level. In summary, it was the best sales quarter since mid-2019. This give us confidence in our plans for future revenue growth and improvements. Moving to Slide 8. You can see the continuous improvement in aircraft deliveries compared to last year in both Commercial Aviation and Executive Aviation. In Commercial Aviation, we delivered 14 aircrafts in the quarter. This represents a 56% increase compared to the prior quarter and 250% increase compared to the second quarter in 2020. Year-to-date deliveries, we were at 23, almost 2.5 half times higher than the same period in the prior year. Of these 23 deliveries, 14 were E2s compared to four E2s in the same period last year. Sales continues to perform very well for E2 as the most efficient right-size single aisle aircraft for the word post-pandemic. In Executive Aviation, we delivered 12 jets, light jets and 8 larger jets for a total of 20 aircrafts in the second quarter. This represents 54% increase compared to both first quarter 2021 and the second quarter of the prior year. Year-to-date delivery – Executive Aviation delivered 33 aircrafts, a 50% increase compared to the first half of 2020. As noted in the guideline – the guidance 2021 we published this morning, we expect the deliveries of commercial jets to reach between 45 to 50 aircrafts, and executive jets to reach between 90 to 95 aircrafts. On Slide 9, we show Embraer’s net revenue. Embraer had the solid revenue growth in the quarter as all four business units reborn stronger from the pandemic. Our top line more than doubled compared to the second quarter of last year. The growth came primarily from higher deliveries in Commercial Aviation. Although, all our segments show a much improved growth during the quarter. Year-to-date net revenue was just under $2 billion, that’s $767 million or 65% increase over 2020. Net revenue breakdown by business show Embraer diversification, with Commercial Aviation representing 34% of the total revenues, Services & Support of 28%, Executive Aviation 22% and Defense 16%. It’s important to highlight the strong recovery in Commercial Aviation as this business was severely impacted by the pandemic last year. Slide 10, SG&A expenses reduction continues to trend very favorably over the last six quarters. We remain highly focused on SG&A efficiencies that are being implemented since the company’s restructuring last year. Although, the second quarter had light increasing G&A. This was primarily driven by increase in provision for profit-sharing and performance-based incentives program due to better expected results for the company 2021 as compared 2020. Combined with the consolidation of expenses from Tempest, our new cybersecurity company acquired in the end of 2020. Selling expenses remains at historical low levels compared to the prior quarters. Selling expenses increased 4% while net revenue increased over 40% sequentially. As percentage of net revenue, selling expenses was 4.2% in the second quarter compared to 5.7% of the first quarter. We achieve these results by leveraging our sales activity as volume increase combined with the more cost efficiency digital sales effort. Slide 11 shows our adjusted EBIT and adjusted EBITDA. We are very encouraged by the strong market performance across all business segments in the second quarter. Our adjusted EBIT margin was 9.3% up 13 percentage points over the first quarter. Our adjusted EBITDA margin was in double digits at 14% or up over 16 percentage points from the first quarter. Both of this profitability metrics have recovered to the levels not seen before 2020. For the first half of 2021, our adjusted EBIT margin was 3.9% and our adjusted EBITDA margin was 9.2%, both well above prior year level. This improvement comes from several factors, including higher deliveries, resulting higher revenue, better gross margin on improved pricing, mix, production efficiency, fixed costs leveraged on higher volumes and favorable tax obligation, reversal of this quarter of approximately $25 million. All of our segments have much better performance in the second quarter. Adjusted EBIT margin by segment in the second quarter were as follows. Commercial Aviation was at 1.7% negative, which although negative shows a great improvement from last year. Executive Aviation was at positive 8% with a strong price discipline and consistent profitability. Defense and Security was at positive 25% led by Super Tucano delivers along with positive adjustments on certain defense contracts. And Services & Support was at 19% as a strong contribution from spare parts programs. Slide 12 shows our adjusted net income, it was positive $44 million or $0.24 per ADS in the second quarter. This represents the first net profit on a quarterly basis since 2018. The recovering adjusted net income is primarily driven by improving operating margins reductions in financial leverage also contributes to improved profitability and any future debt reduction would naturally have any additional positive impact on earnings. Moving to Slide 13, I’d like to begin with free cash flow. Free cash flow in the second quarter was positive at $45 million, $272 million higher than first quarter and $517 million higher than the same period of last year. This is a remarkable achievement. Although year-to-date, the cash flow is negative $181 million. This is compared with free cash flow of around $1 billion of the first half of 2020. We expect positive free cash flow from the second half of the year – of the 2021 as indicated this morning guidance. Now to investments. Our total investment were $50 million in the second quarter and $89 million year-to-date, both of which are in line with last year levels. This is important because it shows we continue to invest our future. We have been very judicious in balancing the needed to invest our future with they needed to preserve cash. Slide 14 shows our cash and liquidity position. We ended the quarter with US$2.49 billion cash and cash equivalents, a slight increase from the end of the first quarter. Our debt to balance was at US$4.3 billion, a slight decrease from three months ago. Our average debt maturity remains at four years. We expect to continue to generate cash in the second half of 2021 and beyond, so our leverage will naturally decrease. This will correspondingly reduce our net interest in expenses and have an additional positive impact on net income. Finally, moving to Slide 16. Embraer has published 2021 financial deliveries guidance for the first time, since the start of the pandemic. Despite risks of the economic – economy recovery, vaccination rates around the world and with the solid first half and good visibility for the remainder of the year, we decided to share the marked our targets for 2021. We expect to deliver between 54 to 50 commercial jets, just to correct, 45 to 50 commercial aircrafts in 2021 and 90 to 95 executive jets in the year. We have a good confidence in those figures as our guidance are red filled for both segments. Combined with the growth in the Defense & Security and continued the recovery in the Service & Support recover globally, we expect consolidated revenues to be between US$4 billion to US$4.5 billion this year, representing a low double-digit growth at the midpoint compared to the last year. Adjusted EBITDA margin should be in the range of 3% to 4% and adjusted EBITDA for 2021 should be between 8.5% to 9.5%. Embraer has had in the first half of 2020 margin in this range, as we expect this good margins to repeat in the second half of the year. It’s important to mention that those margins, includes costs related to the integration of commercial aviation as well as expenses related to their integration process. Finally, our free cash flow guidance is for – is a range from free cash flow usage of US$150 million to a breakeven for 2021. We had US$181 million of free cash flow usage in the first half of the year. So we are anticipating Embraer to generate up to US$180 million cash in the second half of 2021, without any cash inflows for M&A products. With that, I conclude my presentation and hand it back over to Francisco for his final remarks. Thank you very much.
Francisco Neto: Thanks Antonio. The second quarter results and the guidance for the year reinforce our confidence in our strategy. And this confidence motivates us to accelerate the performance improvements and the delivery of our long-term strategic plan with focus and discipline. As I had mentioned in the past, this year is one of recovery and next year and beyond, we plan to capture Embraer’s full potential to grow with profitability. Looking ahead, we foresee in the middle term, the potential to double the size of the company, and that doesn’t include new strategic projects. We are going to be bigger and stronger focusing not only on the top line, but also much higher profitability. We are already showing some positive results of the hard work, our united and motivated teams of employees have done over the past several months. With expectation for positive operating profit this year, and much better free cash flow performance with a clear potential to breakeven for the year. This will be supplemented by partnerships and new programs to drive even higher growth opportunities. We are also advancing on our ESG journey. And right after the Q&A session, we will share with you our new ESG commitments. I invite everyone therefore to remain online for this ESG event, which we will start just after the results Q&A. Also we are looking forward to a new chapter of Embraer with our extraordinary shareholders meeting scheduled for next Monday. We expect our shareholders to approve the election of two international board members with extensive global aerospace industry experience following constructive feedback from analysts and shareholders to improve our corporate governance. These candidates have deep technical knowledge, strategic profiles and innovative thought process. Finally, I will close today by thanking everyone for this strong quarter. It always starts with our people and their focus and passion on executing our strategic planning. As I mentioned to you in the last earnings call, we are a different company today. We are in a process of transformation and we are moving fast. Thank you for your interest and confidence in our company. Over to you, Philippi.
Unidentified Company Representative: Thank you very much, Francisco. And before we continue, we’d like to show you a video, check this out. [Video Presentation] And now let’s move on to our question-and-answer session. We are preparing to sat here and remember that questions can only be sent to the Writer’s Platform. Eduardo Couto, will be our moderator, and he already has some questions with him. Eduardo, over to you.
A - Eduardo Couto: Thanks, Philippi, we start now the Q&A. So let me see the questions that we have. A first question we have is can you give an update on the SPAC negotiations with Eve? I don’t know Francisco or Antonio, who wants to take that?
Francisco Neto: Yes. Thank you. I do thanks for the question. I mean, at this point of time, we can say that the negotiation is moving very well. I’d say, we are very optimistic with this process.
Eduardo Couto: Okay. Moving on the questions, second question we have. What work has Embraer been doing to develop electric aircraft and making this product more viable for customers?
Francisco Neto: Thank you. It’s a good question. Well, we had our first technical flight recently with the Ipanema full electric and we hope to present this aircraft to the public soon. And they’re continuing to invest in this electrification field as one of the innovation fronts that we have to be in line with the ESG activities that we are moving fast in Embraer.
Eduardo Couto: Great. Third question we have from investors is from Victor Mizusaki from Bradesco. He said the fence showed the material gross margin expansion in the second quarter. Can you give more details about that Antonio?
Antonio Garcia: Victor, thanks for the question. We had in the second quarter two main facts on the defense side. First one was the Super Tucano deliver that we were not able to deliver in Q1 that flows to the Q2 figures. In addition to it, we have the adjustment in the defense contract we have in the local course in Brazil, where I would say both effects higher deliveries in Super Tucano, and adjustment of the contracts lead us to this 25% margin in Q2.
Eduardo Couto: Okay, very good. Next question comes from UBS. Could you comment on the $25 million reversal mentioned in the press release? Also what was the positive cost base revision related on the results?
Francisco Neto: Hello. Thanks for the question. First point, we built up a provision 2018 for the Brazilian guide year [indiscernible] we have a claim discussed – being discussed since 2018, hence we were able to gain this claim in second quarter. That’s why we have reversed this tax position. That was also already adjusted in 2018. That’s why we also considering our results. And the second question was in regards to the contract, we have an adjustment here around $10 million in the second quarter that were both effects. It’s important also to mention that even that we have this tax reversal $25 million, let’s put, first quarter and second quarter, we do have other types of costs that we are not adjusting. That’s also not, I would say, for example, our integration of commercial aviation and arbitration costs, which is more or less net this $25 million, I would say. The numbers we are seeing right now, I would say combined Q1 and Q2 is really for me describe the real performance of the company.
Eduardo Couto: We have several questions about EVE. I will try to summarize them. So, basically, any general updates on your EBITDA initiatives would be very helpful, particularly on negotiations with Zanite. You already talked a little bit, but maybe an update of EBITDA rates going down.
Antonio Garcia: Yes, well, as I said, we are very excited with this initiative, with this product. I mean, we had the first flight with the prototype SKL-123, a successful test by the way. Now, we are preparing the next test with the prototype, SKL-121, and technically it’s moving very well. We are planning the certification by 2025 and entering service in 2026. And about the negotiation with Zanite I mentioned already that’s moving very well.
Eduardo Couto: Okay. Very good. Now, moving to business jets, we have a question from Credit Suisse. Business jet has been very strong. And on the first quarter results, you mentioned half of the deliveries were for first-time buyers. In the second quarter, how much were first-time buyers? Maybe you can give an overview of the business jet market.
Francisco Neto: I can do it. I would say, today in our backlog the portion of first-time buyers, I would say, it’s up towards – something like 30% in your backlog and delivers for the whole year. We are talking about 30% first-time buyers, and we are going with the market. If you see the industry, book-to-bill between one to five to two to one, one to five to one and two to one to two. And we are, I would say, a little bit above that and it’s doing pretty well, but for sure, the first-buyer pushing also the market especially in the light jets category.
Eduardo Couto: Now, there is a question on Commercial from Credit Suisse. Your guidance for Commercial deliveries of 45 to 50 seems low given your – you have already delivered 23 jets. Are there any supply chain issues that could prevent you from being above that range? Also they are asking what do you see in terms of deliveries for 2022, any color on that?
Francisco Neto: Let’s take it to account that commercial jets is still suffering from the pandemic, right. What we are giving as the guidance to deliver this year is that a little bit higher than last year. Last year we delivered 44 and for sure we are selling more, but it’s going to impact more in 2022. And the fact that we delivered 23 aircrafts is because it’s well divided throughout the year. That’s why the 47, I would say, between 45 to 50 is the number that we are having. And we do see, I would say, around 30% for next year between 65 to 70 aircrafts, but has to be confirmed, but it’s more or less the number we’ve seen. It’s important information. We do see Commercial Aviation coming back to historical levels at Embraer. From 2023 onwards, we are selling more, but the sales quarter we are closing right now is going to fulfill this guideline starting 2022, and 2021 is more or less the same level from 2020.
Francisco Neto: If I may, Antonio, I’d like to make a link between this answer and the result of the company. It is true that in this first half of the year comparing to the first half of last year, we did much better in terms of deliveries, in terms of results. The numbers speak by themselves. But if you look at the guidance for the entire year, you see that – as planned, we won’t see a huge increase in volumes in the Commercial or Executive. Yes, we are seeing some growth, moderate growth this year compared to the last year, but the improvements in their results, I mean, either the EBIT coming from almost a minus 3% last year to something between 3% and 4% this year, or the free cash flow from minus $900 million last year to something between minus $150 million and $0 million this year. All this good performance is coming from efficiency gains, pure efficiency gains. We really did good right sizing the organization. We are improving, I mean, a lot of activities on cost reduction, on inventory reduction in all the company, I mean, pushing the sales for the future. So again, I mean, from next year on, I mean, we expect that with the stronger growth in the volumes, in all the business units and with this more efficient and agile company, then you’ll see a much better performance. So that’s why our result is coming from this year from efficiency gains from some additional sales, of course, but mainly from efficiency gains.
Antonio Garcia: And just to completing the question for supply chain, what we put in the guidance and what we agreed with our customer for this year. At least for the Commercial Aviation have not seen any supply chain, I would say, problems this year.
Eduardo Couto: We have several other questions. So the next one is related to margins and free cash flow. So the question is how do we see margins per business in the long-term? And what sort of free cash flow conversion, EBITDA into free cash flow conversion does Embraer expect time, Antonio?
Antonio Garcia: So regards to margin, we do see, let’s – in a long-term perspective, we do see Services & Support of double-digit as it is today. We do see Executive in the sales single high digit and we are more or less also today. And we do see the Commercial Aviation, I would say mid-single digit growth between 3% to 5% in the long-term. That’s what we see regards to profitability for the company. And in regards to the cash, the conversion from EBIT to EBITDA, I would prefer to talk, we are seeing today a 50% conversion from EBIT to cash flow. We still needed to improve something, but it’s more or less the metric I’m using internally. We do see today in the long run 50% of our EBIT being converted into cash for the years to come.
Eduardo Couto: So the next question is from JPMorgan, Marcelo Motta. Any update on the sales campaigns for Commercial Aviation? Could we see more orders during the second?
Francisco Neto: Yes, good question. Yes. We have a lot of active sales campaigns ongoing in our Commercial Aviation. We just announced the sales for SkyWest with 16 aircrafts. And yes, we have more to come.
Antonio Garcia: By the way, the SkyWest, it’s not part of the backlog in Q2. Now we are going to book 17 aircrafts in Q3.
Eduardo Couto: 17 aircrafts. Correct. Thank you, Antonio. There is a question here from Lucas from Santander, talking about inflation, can you please comment on how the company is seeing the raw material inflation and how is the company offsetting these impacts?
Antonio Garcia: I’d say, we do see in our final projects, inflation, I would say, all index we have with our suppliers between 2% to 3% for next year and to the customer side, we have also the adjustment class with the index, I would say, our takeaway for next year is a balance between what to have internal inflation and the best way to the customer base. That’s more or less what you are seeing, but there is in some indicators spike in deflation index for next year that we are going to discuss for our customer base. Moreover, we do have – we did this year and we are doing this year, and with that – we do have also a lot of design prevail activity inside Embraer to reduce the base of the costs we have today, without any impactful, any inflation or indicators.
Eduardo Couto: Very good. So now move into new projects. There is a question from [indiscernible] (0:40:30) any update on the partnerships for the turboprop aircraft.
Francisco Neto: That was a good question. This front is also moving very well, especially with the moves – with the recent interest of U.S. airlines in that product. So we see that product as a good alternative for that market in other markets as well. And also as a preparation for new technology in the future. So we are very optimistic and working hard to accelerate this partnership front.
Eduardo Couto: Okay. I think we have at least one final question. It’s back to Commercial Aviation. What do you expect it’s from WTS? What do you expect in the mid to long-term in Commercial Aviation, as we are seeing recovering demand for flights and also renewal for having more sustainable fleets.
Francisco Neto: Thank you. So again, we have, I mean, globally 94% of the Embraer air fleet back in the skies in the U.S. 97% of the Embraer fleet is flying again. So it shows that the recovery in the domestic market really is coming. And that’s why we are working in very, very sales – a lot of sales campaigns in that segment for U.S and E2 as well. So we are working hard to take advantage of this moment. As Antonio mentioned that we see volumes growing, I mean, in 2020, but strongly from 2022, but strongly from 2023 onwards.
Eduardo Couto: I think a final question, it’s related to defense. Can you please comment on the expectations for new KC-390 orders?
Francisco Neto: As I said in the opening, we are working in many sales campaigns – for import sales campaigns for the KC-390 and also, I mean, we are working in the – to develop partnerships that will help us to open new markets for that great aircraft.
Eduardo Couto: I think that’s what we had on the Q&A. So I think that concludes the Q&A. I want to thank you all for the questions and the time. So now Antonio, Francisco, thank you all.
Francisco Neto: Thanks a lot. So thanks for interest in supporting our company, we are living a really a special moment. As I said before this year is the year of recovery, the year of turnaround of Embraer. In the numbers as I said before, speaking by themselves, we expect to have a much better year in 2021 compared to the last year, coming from a very tough crisis, as you know, and we hope to know, we expect to capture the new Embraer potential from to grow – from 2022 onwards. So thank you very much for your support.
Eduardo Couto: Thank you. So this concludes today’s Q&A session. That in turn concludes Embraer second quarter 2021 financial results presentation. Thank you very much for your participation.